Operator: Hello, everyone. Thank you for joining us, and welcome to the Chartwell Q4 and Year-end 2025 Results Conference Call. [Operator Instructions] I will now hand the call over to Vlad Volodarski, Chief Executive Officer of Chartwell. Vlad, please go ahead.
Vlad Volodarski: Thank you, Hillary. Good morning, and thank you for joining us today. There is a slide presentation to accompany this conference call available on our website at chartwell.com under the Investor Relations tab. Joining me are Karen Sullivan, President and Chief Operating Officer; Jeffrey Brown, Chief Financial Officer; Jonathan Boulakia, Chief Investment Officer and Chief Legal Officer; and Gordon Chiu, Chief Technology Officer. Before we begin, I direct you to the cautionary statements on Slide 2 because during this call, we will make statements containing forward-looking information and non-GAAP and other financial measures. Our MD&A and other securities filings contain information about the assumptions, risks and uncertainties inherent in such forward-looking statements and details of such non-GAAP and other financial measures. More specifically, I direct you to the disclosures in our 2025 MD&A under the heading Risks and Uncertainties and Forward-Looking Information for a discussion of risks and uncertainties. These documents can be found on our website or on the SEDAR+ website. Turning to Slide 3. 2025 marked the successful completion of our 5-year strategy. Our teams achieved all strategic goals in resident satisfaction, employee engagement and occupancy. Same-property occupancy reached 95.2% in December, reflecting both strong demand and outstanding execution by our teams across the country. As shown on Slide 4, 2025 was also another exceptional year operationally and financially. Same-property average occupancy increased 480 basis points. Same-property adjusted NOI increased 18.4% and FFO increased 40.8%. These results were broad-based and consistent across our operating platforms. These results are a powerful reflection of the dedication, care and professionalism of our people. Across all aspects of our business, our teams introduced new programs, tested ideas, shared learnings and scaled what worked. At the same time, we continue to invest in technology and management processes to simplify work, improve insight and support better decision-making at the residence level. What stands out is the culture behind the performance, teams staying focused on customer experience, taking accountability for outcomes, remaining curious and innovative and working together across functions. We are tremendously grateful to our teams for their excellent work that produced these outstanding results. With that, I'll pass the mic to my partners. Karen will walk you through the operational initiatives. Jeff will cover our financial performance, and Jonathan will provide you an update on our growth and portfolio optimization initiatives. Karen?
Karen Sullivan: Thanks, Vlad. Moving on to Slide 5. We had another strong quarter of leasing activity with a positive net permanent move-in to permanent move-out of 276 units and continued growth in occupancy in all four provinces. Our closing ratios in Q4 were significantly higher at 22% initial contacts to permanent move-ins compared to our typical closing ratio of 15% as prospects took advantage of 2025 rates before market increases came into effect in January. Although the outbreak season started relatively early, it peaked in late December and has been trending down ever since. Our winter dip is quite similar to 2025 and in line with our expectations. We held our first open house event in select properties in January prior to the very cold spell in order to add to our pipeline of qualified prospects. In addition to this event, we continue to implement property-specific marketing strategies as well as numerous corporate initiatives. This includes the recent introduction of an AI-powered chatbot on our website, representing the first-of-its-kind application in Canadian seniors housing at the individual property level. The chatbot provides prospects with a new always-on channel to engage, receive property-specific information and convert into booked tours. In Q4, we held training sessions across the country for over 200 of our sales personnel. The focus was on building proactive sales behaviors, strengthening [ personal ] brand and digital presence, increasing confidence with care-related conversations and understanding how AI influences the prospect journey. We also launched a new more competitive sales commission program, which came into effect in January as well as an automated commission payment process. In terms of expense control, we reduced our same-property staffing agency costs by 57% in 2025 compared to 2024 through our continued focus on recruitment and retention activities. Turning to Slide 6. Chartwell's Wish of a Lifetime continued to contribute positively to earned media through -- sorry, this quarter through human interest storytelling that highlighted residents' experiences and acts of kindness. One notable example is the story of Angie Carnegie from Aurora, who wished to see her original play staged and brought to life for the first time. The story was covered in local media and included attendance from local dignitaries, including the Mayor. Finally, in Q4, the operations teams integrated three new properties, two in Quebec, Chartwell Azalis and Chartwell Panorama, both of which are large 30- and 31-story residences in beautiful locations in the Greater Montreal area as well as The Edward in Calgary, our first boutique living property. We also opened Edgewater by Chartwell in December, a 155-unit independent living property in Nanaimo, BC and have already welcomed the first 30 residents with an additional 7 due to move in shortly. I'll now turn it over to Jeff to take you through our financial results.
Jeffrey Brown: Great. Thank you, Karen. As shown on Slide 7, in Q4 2025, net income was $7.2 million compared to net income of $3.5 million in Q4 2024. FFO grew to $81.2 million in Q4 2025, an increase of 40.9% compared to Q4 2024. Our reported FFO does not include $2.5 million or $0.08 per unit of income guarantees related to recently acquired properties. Q4 2025 FFO growth benefited from higher adjusted NOI of $28.8 million, higher adjusted interest income of $1.5 million and higher other lease revenue of $1.2 million, partially offset by higher adjusted finance costs of $3.3 million, higher G&A expenses of $2.4 million and lower management fees of $2.2 million. In Q4 2025, our same-property occupancy increased 430 basis points to 94.7% and our same-property adjusted NOI increased $11 million or 16.9%. We also had an 11.6% increase in our NOI per occupied suite. In 2025, net income was $29.5 million compared to $22.4 million in 2024. FFO grew to $278 million, an increase of 40.8% compared to 2024. Our reported FFO does not include $8.2 million or $0.028 per unit of income guarantees related to recently acquired properties. 2025 FFO growth benefited from higher adjusted NOI of $109.8 million, higher adjusted interest income of $3.7 million, higher other lease revenue of $2.2 million and lower depreciation of PP&E and amortization of intangible assets used for administrative purposes of $0.5 million, partially offset by higher adjusted finance costs of $20 million, lower management fees of $7.6 million, higher G&A expenses of $7.1 million and lower other income of $0.9 million. For 2025, our same-property occupancy increased 480 basis points to 92.8% and our same-property adjusted NOI increased $45.7 million or 18.4%. Our same-property NOI for occupied suite increased by 12.2% during the year. Slide 8 summarizes our same-property operating results for each platform. All of our platforms posted occupancy gains in Q4 2025 compared to Q4 2024, and all are operating above 90% occupancy, which has positively impacted our results. Our Western Canada platform same-property adjusted NOI increased $3 million or 14.4%. Our Ontario platform same-property adjusted NOI increased $6.2 million or 17.1% and our Quebec platform same-property NOI -- adjusted NOI increased $1.8 million or 22.8%. Turning to Slide 9. At February 26, 2026, liquidity amounted to $483.8 million, which included $88.9 million of cash and cash equivalents and $394.9 million of borrowing capacity on our credit facilities. During the year ended December 31, 2025, we raised total gross proceeds of $720.5 million of equity through our ATM programs at an average price of $18.52, which helped support our transaction activity. And we continue to improve our leverage metrics with interest coverage ratio growing to 3.5x and our net debt-to-adjusted EBITDA ratio declining to 6.9x. We also continue to improve our financing flexibility and have grown our unencumbered asset base to $2.1 billion. For the remainder of 2026, our debt maturities include $209.6 million of mortgages with a weighted average interest rate of 2.99%. As of February 26, 2026, we estimate the 10-year CMHC-insured mortgage rate to be approximately 3.85% and the 5-year unsecured debenture rate to be approximately 3.88%. Yesterday, our Board approved a 2% increase in our monthly distributions from $0.051 per unit to $0.052 per unit. The increase will be effective for the March 31, 2026 distribution, which is payable on April 15, 2026. I will now turn the call to Jonathan to discuss our recent acquisitions and portfolio optimization activities.
Jonathan Boulakia: Thanks, Jeff. We continue to execute on our portfolio strategy of enhancing our asset base to generate increased quality NOI. I'll highlight some of the deals that we completed in Q4 2025 as pictured on Slide 10. On October 1, 2025, we acquired a 449-suite retirement residence, Les Tours Angrignon in Montreal, Quebec for $88.5 million. On November 3 (sic) [ November 1, ] we acquired Residence L'Aubier in Quebec, which was developed by our development partner in Quebec, Batimo for $128.2 million. Also on November 3, we acquired Residence Panorama, a 238-suite waterfront residence in Laval, Quebec for $76 million. At 31 stories, Chartwell Panorama is the tallest residence in our portfolio. On December 1, we acquired Residence Azalis, a 334-suite, 30-story waterfront residence in Repentigny, Quebec, for a purchase price of $111 million. On December 2, we acquired the Edgewater Retirement Residence in Nanaimo, BC for a purchase price of $102.7 million. This waterfront new property was purchased pursuant to a forward purchase agreement. On December 15, 2025, we acquired a 90-suite boutique residence, The Edward, in Calgary, Alberta for a purchase price of $53 million. And finally, on December 18, we acquired the remaining 15% ownership interest in Residence Legende in Greenfield Park, Quebec from Batimo for $17.9 million. As you can see, in 2025, we continued to grow our portfolio with over $1.7 billion of completed and announced acquisitions. We continue to evaluate several interesting opportunities to grow and enhance the quality of our real estate portfolio. We remain disciplined in how we approach underwriting, diligence and integration of our new acquisitions to deliver enhanced services to the residents, mitigate disruption to operations and achieve our required investment returns. We are also engaged in discussions with local and national developers across the country to restart our development program and create a meaningful pipeline of state-of-the-art assets to bring in our portfolio. We will purchase such developments in a prudent manner with a preference for off-balance sheet development similar to our arrangement in Quebec. Further to this initiative, we announced the development of the 111 suite Chartwell Kingsview Retirement Residence in Calgary with an advance of $4.5 million of the total committed $6.5 million mezzanine financing to local developers. Chartwell will be the operations manager of the project and will have a call option to acquire the residence on stabilization. The project is in an affluent residential area of Calgary in proximity to various neighborhood amenities and will feature self-contained IL apartments and an attractive amenity package. As I've noted, we have invested significant financial and management capital pursuing acquisitions in line with this strategy and have initiated new development projects to support a strong pipeline of future property growth. We have also identified properties within our portfolio that no longer fit this core strategic focus due to their location, size, age and/or service offering. We entered into a definitive agreement to sell one of these noncore properties in Ottawa for $49 million. We intend to pursue dispositions of some or all of these properties as market conditions allow with proceeds expected to be used to support future development and acquisition activity that is in line with Chartwell's current strategy. I'll turn it back to Vlad to wrap up.
Vlad Volodarski: Thank you, Jonathan. Turning to Slide 11. We are entering the next phase of Chartwell evolution with clarity and confidence. Our 2026-2028 strategy is focused on generating robust FFO per unit growth through exceptional resident experiences, empowered teams, a well-established agile management platform and the prominent Chartwell brand, driving market-leading occupancies across a growing and renewing portfolio of community-tailored residences. From a performance perspective, our targets are clear. We're focused on maintaining weighted average occupancy above 95%, growing revenue per occupied suite by more than 4%, controlling costs, maintaining strong balance sheet capacity and executing approximately $2 billion of acquisitions and developments, funded in part by approximately $1 billion of dispositions through 2028. Underpinning all of this is our leading management platform, strong company culture and most importantly, our people. Our success depends on teams who put residents first, take ownership of outcomes, stay curious and innovative, simplify and improve how we work and collaborate across the organization. These guiding principles are not aspirational. They're embedded in how we do business every day. With a proven strategy, strong industry fundamentals and exceptional teams, I'm confident in Chartwell's ability to continue delivering strong operating performance and long-term value for all of our stakeholders. Chartwell culture manifests itself in our results, and it leaves in our stories. I will now close our prepared remarks with a story from one of our residences as pictured on Slide 12. Shortly after Kathy and her husband, Mike, moved into Chartwell Thunder Bay, their plans to settle into their new community were disrupted by an unexpected and serious health crisis. Kathy was hospitalized with a condition that required intensive treatment and an extended period of care away from the residence. Throughout this difficult time, our team stayed closely connected to Kathy and Mike, checking in regularly, offering reassurance and supporting them through a period filled with uncertainty. When Kathy's conditions stabilized enough for her to leave the hospital briefly, the team looked for a way to help her reconnect with life beyond treatment. Knowing how meaningful music was to Kathy, they worked with the local community to arrange for her to attend the Christmas concert by Juno award-winning Canadian singer/songwriter, Johnny Reid. It was Kathy's first outing since being hospitalized. The evening included not only the performance, but a personal moment with the artist and a dedication made especially for her. This may sound like a small gesture, but it reflects something fundamental for Chartwell, always a resident-first approach delivered by people who truly know those they serve and who are empowered to act with compassion and purpose. These are the moments that build trust, reinforce why our work matters and quietly brings our responsibility to life. Thank you for your attention this morning. We would now be pleased to answer your questions.
Operator: [Operator Instructions] Your first question comes from Lorne Kalmar from Desjardins.
Lorne Kalmar: Congrats on a great finish to a great year. Just on the development side, it looks like you guys reintroduced a disclosure we haven't seen since the early innings of COVID. Obviously, a lot of talk about, developments ramping up here in the next little bit with you guys and more broadly. I was just wondering, over maybe the next 2 years, what do you expect, if you can give us a range in terms of annual development spend? I know obviously, there's a preference for off-balance sheet, but just trying to get an idea of where your heads are at in this regard.
Vlad Volodarski: Thanks, Lorne. We have a couple of projects that are ongoing already, and those are on our balance sheet. So we have two developments in Montreal area. Those are additions to the existing residences. And as I said, those are on balance sheet. We look to really invest in development mostly off balance sheet with options to purchase the properties when they get to stabilized occupancy. There may be a few additions that we will execute on our balance sheet, but the majority of the development that we expect to conduct over the next couple of years will be off balance sheet.
Lorne Kalmar: Okay. That's really good color. And then maybe just sticking on the development side with the ramp-up, is that a reflection of just a great opportunity to develop? Or is it also a reflection of a declining acquisition opportunity set?
Vlad Volodarski: Well, for us, it's strategic to grow the portfolio with high-quality newer assets. We continue to see very interesting, as Jonathan pointed out, acquisition opportunities, and we're working through a few right now. With those, we never know whether we're going to be the ultimate purchaser of the properties or not. There is some competition always for high-quality properties. And also, Canadian market is not very large. And especially when people focus on properties types that we're focusing on, newer, larger, more efficient and larger urban markets, it becomes even smaller. And so our development strategy is really the one that is more in our control, where we're trying to build our own pipeline of future acquisitions that will not be dependent of the availability of somebody else's product in the market.
Lorne Kalmar: Okay. And then maybe just one last one. I know it's still early days in terms of seeing this next development cycle kick off. But are there any markets where you're concerned at this point that we might see an oversupply or an overbuild in terms of just projects that are sitting at the early stages of development or permits?
Vlad Volodarski: At this point, no, it's hard to tell. As you know, it takes at least 2 years to build a building from the time you put the shovel in the ground. So it's too early to speak about that because we have not really seen any meaningful construction starts yet. I think everybody expects that we will see some in 2026. But I also want to remind everybody that demand has been growing by 4%, 4.5% per year for the last 4 years and will continue at that pace for the next 20 years. It's hard to imagine that the industry will be able to build that much product to really catch up and exceed that demand that continues to grow. Some markets probably could be disrupted for a short period of time. But at this point, it's hard to tell which ones they're going to be.
Operator: Your next question comes from Jonathan Kelcher from TD Cowen.
Jonathan Kelcher: First question, just on the outlook for 2026, same-property occupancy to maintain an average of 95%. Is there any new supply hitting some of your markets that might impact some of that same-property occupancy?
Jeffrey Brown: Nothing -- there are some LTC openings that could have some impact, but we're not seeing a lot of new retirement residence competition opening up.
Jonathan Kelcher: Okay. So it's -- you guys are just being a little conservative on that...
Vlad Volodarski: Well, Jonathan, we are in this uncharted territory, right, where it is really hard to predict the potential for occupancy growth because we've never been at these -- not just Chartwell, the industry-wide never been at these high levels of occupancy. So it's not like we can point to 5 years ago, everybody was at 98%, so that's achievable. So for us, we continue to focus on great resident experience, great sales processes, marketing processes, and we hope that we can exceed the 95% occupancy, but we will see by how much.
Jeffrey Brown: And we still want to obviously have our move-ins exceed our move-outs with -- just given the higher turnover in the senior sector compared to other housing sectors.
Jonathan Kelcher: Yes. Fair enough. I was just trying to get is there anything out there that you're seeing that might stop just the sort of general increase for the industry. And secondly, just on the rent growth for -- 4%, how would that break down on what you're seeing on when units turn over versus what you're pushing through on renewals?
Jeffrey Brown: So our renewal pricing strategy has and continues to be inflation plus 1% or 2%, sort of matching the cost increases in the properties with the rate increase. And then on turnover, we're seeing mid- to high single digits and in some markets, even low single-digit rate increases.
Vlad Volodarski: Low double digit.
Jeffrey Brown: Low double-digit rate increases, sorry.
Jonathan Kelcher: Okay. So shouldn't that work out to higher than 4% then overall? If you're getting 1/3 at 8% or 9% and the other 2/3 at 3% to 4%?
Vlad Volodarski: It might. We continue seeing the impact of the incentives that's been granted throughout 2025. So you'll see our occupancies increase significantly in 2025, and there have been some incentives that were put in place to achieve that occupancy growth, the full year impact of those incentives will be felt in 2026. And so that will suppress a little bit the overall blended rate growth.
Jonathan Kelcher: Okay. Fair enough. And then just lastly, like Ballycliffe, haven't talked about that one in a while. It's up running complete. Would you -- would that be something you'd expect to sell this year?
Jeffrey Brown: Yes.
Vlad Volodarski: Yes.
Jonathan Kelcher: And the ballpark pricing?
Vlad Volodarski: We're not yet ready to announce. It's still in progress. So as soon as we can talk about it, we will.
Operator: Your next question comes from Tom Callaghan from BMO.
Tom Callaghan: Maybe just to start on the acquisition side and building off some of Lorne's questions there. Can you just talk about what you're seeing in terms of pricing and competition, maybe relative to 12 months ago? I think over the course of '25, we've obviously seen some cap rate compression. Just given the outlook and underlying supply-demand fundamentals, like would you expect to continue to see tightening on pricing over the balance of '26? Or do you think it's kind of more stabilized?
Jonathan Boulakia: We have seen some -- a little cap rate compression. I think it's probably stabilizing now. We're still seeing a lot of opportunities in the market, both one-offs and portfolio level. And in terms of the market, it is somewhat competitive, but we think we have a competitive advantage being -- our reputation in the market as a credible buyer. We do a lot of underwriting work really early on in the process. We give credible offers early on in the process that we stick by. So vendors -- the feedback we're getting is that vendors like working with us because of our experience, our experience underwriting, our credibility, our speed of execution and our ability to integrate properties into our platform effectively with as little disruption to residents and staff as possible. And so that kind of gives us, we feel, a competitive advantage, but it is a competitive process.
Tom Callaghan: Got it. That's helpful, Jonathan. And maybe I think you referenced some interesting opportunities in prepared remarks. Would some of those encompass kind of more of the portfolio-type deals? Or is it mostly one-off buildings?
Jonathan Boulakia: We're seeing both. One-off...
Tom Callaghan: Maybe the last one -- sorry.
Jonathan Boulakia: No, go ahead.
Tom Callaghan: And maybe last one for me is just you did note in your '26 outlook there the expectation for margins to expand year-on-year. Can you just maybe talk about some goalposts in terms of the quantum of that expansion?
Jeffrey Brown: Yes. We do think that we should have margin expansion again in 2026, and it -- still be in the low 40% range, where we think there's an opportunity to move that up into the low to mid-40% range as we continue to grow rate above operating expenses.
Operator: Our next question comes from the line of Himanshu Gupta from Scotiabank.
Himanshu Gupta: On expected rent growth of 4%, do you think there was a view that once we get to that 95% occupancy, cross the bridge to get there, that blended rent growth could become like 5%? And maybe now like the affordability angle is coming up. So it's not just about full capacity, but there's an affordability as well. So that's why 4% is the right number, and not the 5% you can achieve. Fair to say that?
Vlad Volodarski: Well, the strategy statement that we put out and the metrics around it says above 4% growth. So 4% marks in our minds, at least the bottom of what is possible for the next 3 years. And as Jeff pointed out, we are continuing to be measured in the rent increases that we put through for our existing residents. They will be tied more to the overall inflation in our cost, labor, food and others. And then market rents, we do think can grow by high single digits in the next 3 years given the supply-demand dynamics.
Himanshu Gupta: Okay. And then talking about incentives, you did mention that incentive coming down. Can you elaborate what is it now and where it can go?
Jeffrey Brown: Yes. Himanshu, it's approximately 5% of revenue right now. And they come down. There's a number of recurring incentives that were used over the 2024 and 2025, and those roll off or burn off with turnover. So it's hard to predict exact resident turnover, but we expect them to grow this year as we have the full year impact of the 2025 incentives and then start really burning off in 2027, 2028.
Himanshu Gupta: Okay. Okay. That's helpful. And then turning attention towards the acquisition activity, The Edward, Calgary acquisition. What kind of cap rate are you expecting there? I don't remember you guys doing anything in Alberta in the last couple of years. So is that like a focus market now?
Jonathan Boulakia: Sorry, is Calgary a focus market?
Himanshu Gupta: I mean, do you expect to be more active in Alberta, Jonathan? I mean, obviously, you were active in the other three provinces quite a bit in the last couple of years. And is Alberta [indiscernible] very well now?
Jonathan Boulakia: For sure. We consider Alberta and Calgary specifically in Alberta to be core markets and areas of focus for future growth, both on the acquisition side and on the development side. And the cap rate would be consistent with published guideline cap rates that we see in publications. So we don't normally disclose the actual cap rates that we pay, but it would be in the high 5%, low 6s cap rate.
Himanshu Gupta: Okay. And would you say -- is there like a spread between Alberta versus Ontario? Or is it quite comparable?
Jonathan Boulakia: Alberta and Ontario, I think, would be relatively similar in terms of cap rates.
Himanshu Gupta: Okay. Okay. And maybe just last question since I have you, Jonathan here. You did mention about some cap rate compression you have seen. For this development cycle to continue, do you need to see more cap rate compression from here? Or whatever you have achieved is enough to bring on more supply?
Jonathan Boulakia: Well, we're seeing some developments pencil out now with the current cap rates and current expectations on rate. But as Vlad mentioned, most of our development is what we call off balance sheet. So we're going to be buying these at prevailing cap rates and fair market value when they're stabilized or on construction completion. So if and when that happens, we'll be paying whatever the appropriate price is.
Himanshu Gupta: Okay. Okay. Fair enough. And just one last one. That Ontario -- that portfolio acquisition, when are you expecting it to close? Is it the CMHC approval which is taking forever?
Jonathan Boulakia: Well, we are still waiting for third-party approvals, yes, and we would expect to close in Q2.
Operator: Your next question comes from Sairam Srinivas from ATB Cormark Capital Markets.
Sairam Srinivas: Just looking to the quarter, and I might have missed this, but did you guys guide for the acquisition and disposition number for '26?
Jonathan Boulakia: I'm sorry, can you repeat that?
Sairam Srinivas: Just looking at your commentary on acquisitions and dispositions. I'm not sure if I missed this, but do you have a number for '26 in terms of your...
Jonathan Boulakia: No. We provided a strategic plan for the next 3 years of a target of $2 billion of acquisitions and $1 billion of dispositions of noncore properties. But we don't set an annual goal or plan. It's as market conditions allow. And so we will sell and buy as we see opportunities to do so.
Sairam Srinivas: Okay. And Jonathan, maybe going back to your comments on the competition you're seeing in the acquisition market. Can you give us a color in terms of the kind of firms you're seeing competing over there? Is it more like more funds competing or more operators as well?
Jonathan Boulakia: We're seeing the typical competition for assets. We're seeing competition from domestic owners and operators like us, and we're also seeing U.S. capital coming into Canada as it has been doing so for the last decade. So we just see more of that, but nothing particularly new.
Sairam Srinivas: That's good color. And maybe just on the developments, Vlad, I know you mentioned thinking about on balance sheet versus the option and developments. When you historically look at acquiring a new project or newly developed facility versus something that you have probably developed on balance sheet or through your partnerships, are there advantages you've seen operationally that work better for your design builds versus those that you probably acquired through the market?
Jonathan Boulakia: Definitely. So when we're doing the off-balance sheet or on-balance sheet development for that matter, we are involved from the get-go from the site selection point to the preliminary design, the feasibility, the programming and all the way to the finishes. And we play an oversight role on the construction quality. So we know exactly what we're getting and what we're getting at the end is exactly what we want. So there is certainly a difference. Now we've been very fortunate in our last 2 years of acquisitions where we have been buying new properties and they are great state-of-the-art properties. By and large, they're almost all newly developed properties. So we've been fortunate. But as Vlad said, we want to plant the seeds for the future where we don't know if those conditions will continue to exist. And so we're preparing ourselves for that potential turn in the market where we don't have those great opportunities. And so we will create them for ourselves. And yes, when we create them for ourselves, we have, I guess, more of a say in what we're ultimately going to buy.
Operator: Your next question comes from Giuliano Thornhill from National Bank.
Giuliano Thornhill: I just kind of wanted to start on the margins. So the low 40s, 95% occupancy looks pretty achievable. And just given that occupancy last year for the same property pool was up by 480 bps, the margins were up in that 300 bps. Going forward, do you see that margin increase accelerating as we get into these higher occupancy levels?
Jeffrey Brown: I would say they would accelerate. We're already operating at the high occupancy levels, but we do expect them to increase with the increase in occupancy.
Giuliano Thornhill: Right. Okay. And then moving to the growth portfolio. I know that's higher quality, recently built. Where does something of that quality stable out to at those levels?
Jeffrey Brown: And that -- just to be clear, that portfolio includes properties where we've had a change in ownership. So there's a number of properties that we are part of, the Welltower joint venture, that are included in there as well just for clarity. But we do think that portfolio as well can get into that low to mid-40% range.
Giuliano Thornhill: Okay. And just going back to the transaction volumes that you guys commented on earlier, how much of that is Chartwell actually interested in? Like what's the, I guess, dollar volume? And what would Chartwell be interested in and what's out there?
Jonathan Boulakia: Sorry, are you asking what's the dollar value of potential acquisitions that we see?
Giuliano Thornhill: Yes, yes, exactly.
Jonathan Boulakia: Yes. We don't typically comment on things that are in the market that we're still kind of kicking the tires on. But we would expect 2026 to be a very active year in the seniors' real estate market.
Giuliano Thornhill: And is it still going to be focusing on that kind of care-lite product type that you've been acquiring?
Jonathan Boulakia: Yes. By and large, yes, but we do like continuum of care type properties. So we are focused -- we are looking at all -- the whole spectrum of care on the privately funded -- on the private side. But yes, our [indiscernible] thought would be the more independent side with preferably some care component in the building.
Giuliano Thornhill: Yes. And I guess the follow-up I'd ask is just kind of do you think with the LTC waitlist growing and obviously higher acuity patients coming in, do you think that could impact the demand later on given like 3, 5 years out, just as more and more people come in with other issues?
Vlad Volodarski: We think that the demand is going to grow on all sides of the continuum of care spectrum. We think there's going to be continuing strong demand for more independent senior apartment type of developments. And there's definitely always going to be demand for care. And so our team has been putting in place programs, Care Assist Program in particular, that is Chartwell's proprietary program on care. We have technology that helps people to deliver care -- assess clients, deliver care and bill for it. And you'll see our care revenue has been growing at a pretty robust pace for the last couple of years, and we expect that, that will continue and our properties will be set in such a way that we can accommodate people and their care needs and help them to stay with us as long as they choose to.
Operator: Your next question comes from Pammi Bir from RBC Capital Markets.
Pammi Bir: Just coming back to maybe the Investor Day and the outlook that you presented there. As you kind of look now at 2026, and we've now had a few months passed, has your view changed at all either perhaps better or maybe even moderating a bit in terms of how you think about 2026? I mean the commentary seems optimistic, but also at the same time, seems perhaps conservative. So just trying to get a pulse on how you're thinking about the year relative to a few months ago.
Vlad Volodarski: I don't think anything has changed from a couple of months ago. We're very optimistic about our ability to continue to deliver great services to our residents and continue to grow profitability through occupancy and rental rate growth. We'll continue to focus on controlling the costs and looking to put a lot more new innovative ideas out there in the market and test them and see what works. So I don't think anything has changed from that perspective.
Pammi Bir: Okay. And then just on the total occupancy, I think you're sitting at about 93%. Maybe just expanding on one of the earlier questions, is that portfolio something you think you can get to in terms of like the 95% threshold this year? Or will that take a little bit longer?
Vlad Volodarski: Well, we'll see. We might. There are some homes in that growth bucket that just -- Karen gave an example of Edgewater in Nanaimo that just opened in December. So it has 30 -- maybe plus 7, 37 people, 130 units. So for that home, it may be way too aggressive to assume, although I'm looking at Karen, she's not nodding her head. Yes, too aggressive to assume that, that will hit 95% this year. So we have a few homes like that. The rest of that portfolio should be at 95% or higher.
Pammi Bir: Okay. And then maybe just coming back to the same property portfolio. Again, lots of good detail in terms of what you're thinking from an occupancy and margin standpoint. I mean, should we ultimately expect that in terms of organic growth, you'll be tracking close to, call it, the high single digits, low double-digit range based on all the sort of goalposts that you've provided?
Vlad Volodarski: I think it is reasonable. So the rental rate growth over 4%, expenses 4% or lower. And then we still have some occupancy to get to 95% average that we expect to achieve this year or higher. So if you do that math, then it looks like your estimates will be about right.
Pammi Bir: Okay. And then just lastly, on the dispositions, you've done one deal so far this year. What does the sort of near-term pipeline look like? I'm not sure if you have stuff on the market currently. And I'm just curious if there's portfolios in there at all and what sort of NOI impact that may have if you do move forward on some additional deals?
Vlad Volodarski: Yes. At this point, Pammi, we can't really talk about. These are all very preliminary transactions that are in progress. There are a few of them that we're working on, but you never know whether they're going to be completed or not. So as soon as we can talk about it, we will. But the target remains for the next 3 years to dispose of the noncore portfolio. We value it at over $1 billion today.
Operator: Your last and final question comes from Tal Woolley from CIBC Capital Markets.
Tal Woolley: Obviously, a big year, unannounced acquisitions. I think it was $1.7 billion of stuff that you've closed and is yet to be closed. Can you just talk a little bit about any signs of integration strain either at the corporate level or on the ground?
Vlad Volodarski: Well, we -- frankly, I was surprised of how well our teams were able to integrate these acquisitions, pleasantly surprised because it's not an easy task to take on properties and transition it from one operator to another, especially because we were transitioning many properties from different types of operators. There are some that were managed by smaller companies, some that were managed by larger companies. And it's really been a great experience, hard work, but a great experience for residents and employees of these homes and the feedback that we've been receiving, we were just recently together with the general managers from all of our homes. And those who joined us more recently couldn't have been more complimentary about the process that they and their teams and the residents went through to join the Chartwell family. So it's been a great experience, and we have not experienced any strain. We are very cognizant about the impact that the large volume of these acquisitions has on the support teams in the corporate office and the operations teams in the field, and we're making sure that there's good processes, enough resources dedicated to these transitions. And there's definitely risk associated with it, and we're trying to manage this risk to the best of our ability. The good news is all acquisitions or the vast majority of the acquisitions that we've done over the course of the last 2 years have exceeded our expectations in terms of the financial performance.
Tal Woolley: Okay. And then when you take on like that kind of volume in a year, I'm just wondering like can you start to go back and like leverage your buying power more effectively, whether it's like for food or medical supplies, that kind of stuff? Like is there -- like can you get better operating synergies out of this? And is that part of the reason why we're sort of seeing your direct operating expenses per suite start to fall?
Jeffrey Brown: Tal, we do that regardless of the level of acquisition activity. So just given the scale of the company, we're very focused on buying power and leveraging the number of properties we have across the country. So we think that does help in our underwriting of acquisitions and should help to some effect on the overall buy, but wouldn't materially drive our operating expenses.
Tal Woolley: Okay. And so when I'm looking at that direct operating expense per occupied suite figure, if it's down year-over-year, is it down mostly because the occupancy is up so high? Or are you actually seeing some operating expenses...
Jeffrey Brown: They grew on an absolute basis, but because occupancy grew faster than the operating expenses, you're seeing the decline in the operating expense per occupied suite.
Tal Woolley: Got it. And then as demand continues to pick up here, how do you feel -- like are you finding you've got the right suite mix for now? Or are you finding it like you need more supportive-living suites or assisted-living suites? How are you matching demand at this point in time?
Vlad Volodarski: Tal, most of our properties are in the independent supportive living category, which basically means that we can provide a significant amount of support and care to the residents in their suites, and that's the Care Assist Program that we have with the technology that was recently implemented across the country. And so those properties can accommodate people from fully independent to people who require quite a bit of care. And so that's where the majority of our portfolio is, and we're very happy with that breakdown. We have some neighborhoods or wings of the properties where -- that we designate as memory living or assisted living. Those are specifically designed areas where packages are more all-encompassing, and we have higher staffing levels to accommodate people with higher needs or specific needs like in memory care. But generally, we're pretty happy with the breakdown that we have. And as I said, the -- my expectation is that demand will continue to grow on both sides of the spectrum where people will look for more independent type of accommodation for socialization purposes and will continue to grow a part of our business where we provide services for people with more care needs.
Tal Woolley: Okay. And then just lastly, I think the last big deal you've got to close, I think, is the Sifton portfolio. Will you -- like for this year, would you look at completing the balance of that with your credit facilities? Or do you expect it to be through some dispositions by then or perhaps using the ATM?
Jeffrey Brown: Yes. So we have a combination of some dispositions and also approximately $170 million of CMHC financings underway. So between those and cash on hand, we'll be able to fund that portfolio acquisition.
Operator: There are no further questions at this time. I will now turn the call back to Vlad Volodarski, Chief Executive Officer of Chartwell, for closing remarks.
Vlad Volodarski: Thank you again, everybody, for joining us. If you have any further questions, please do not hesitate to give any one of us a call. Goodbye.
Operator: This concludes today's call. Thank you for attending, and you may now disconnect.